Operator: Greetings and welcome to the ArcBest 1Q 2022 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded on Friday, April 29, 2022. I would now like to turn the conference over to Mr. David Humphrey, Vice President of Investor Relations. Please go ahead.
David Humphrey: Thank you for joining us. On today's call, we will walk you through the details of our first quarter 2022 results. Joining me today are Judy McReynolds, Chairman President and CEO of ArcBest; and David Cobb, Chief Financial Officer of ArcBest. We'll have additional commentary from Dennis Anderson, ArcBest's Chief Customer Officer; and Danny Loe, ArcBest President of Asset-light Logistics and Yield Officer -- Chief Yield Officer. To help you better understand ArcBest and its results, some forward-looking statements could be made during this call. Forward-looking statements, by their very nature, are subject to uncertainties and risk. For a more complete discussion of factors that could affect ArcBest's future results, please refer to the forward-looking statements section of our earnings press release and our most recent SEC public filings. To provide meaningful comparisons, certain information discussed in this call includes non-GAAP financial measures as outlined and described in the tables in our earnings conference press release. Reconciliations of the GAAP financial measures to the related non-GAAP measures discussed in this call are also provided in the Additional Information section of the presentation slides. As a reminder, the slides that we will be reviewing here can be found on the ArcBest website arcb.com, in exhibit 99.3 of the 8-K that was filed earlier this morning, or you can follow along with us on the webcast. We will now begin with Judy. 
Judy McReynolds: Thank you for joining me today to talk about our first quarter 2022 results. Before we begin, I want to acknowledge the world events that have transpired since our last call including the humanitarian crisis in Ukraine. Our hearts go out to everyone affected and we joined those calling for a peaceful resolution to this conflict. We do not have direct operations in Ukraine or Russia. While it is hard to anticipate the long-term impact of the conflict on macroeconomic conditions and our operating environment, we are confident in our strategic direction and our prospects for continued growth and success. Turning now to the quarter. Our three-point strategy remains our North Star for creating sustainable value, shaping how we do business and how we deliver for our customers and employees. It also guides how and where we invest resources to ensure we continue to grow our business, while unlocking new opportunities to help drive the global economy. Our strong first quarter 2020 results, including record profitability and improved operating margins across the business, are a testament to the merits of our strategy and to the team's relentless and outstanding execution of it. I want to take a moment to acknowledge the outstanding work of ArcBest's talented and dedicated employees. Thank you for everything you do day-in and day-out to meet and exceed the needs of our customers and business partners, while creating value for our shareholders. Our exceptional performance in the first quarter of 2022 and over the last several quarters has enabled us to continually make smart investments back into the business including our people, our solutions and our technology to advance our vision and adapt to the marketplace, while driving revenue growth. I'd like to begin by walking you through the progress we are making in each of these three areas through our reinvestment efforts. Starting with our people. Our people are at the heart of our success and we want to ensure they have the tools and resources and means needed to excel in their jobs every day. This commitment is exemplified by ABF's current labor contract which offers one of the highest paying wage and benefit packages in the logistics industry as well as the landmark capital commitment we have made to investing in ABF facilities and equipment. Next, our solutions. We differentiate ourselves from others in our industry with the breadth of our solutions and our proven ability to serve customers across modes without switching service providers. And our ongoing investments in our asset-based and asset-light business ensure we are positioned to win. By introducing solutions like dynamic pricing which helps fill empty capacity we offer customers more sustainable ways of meeting their transportation needs. Finally, our technology. By dedicating time and resources in new and innovative solutions, we're able to improve efficiencies, lower costs and overcome operational disruptions. Our work on improving digital channels is a great example of this as we've been able to provide customers a better experience through their ability to digitally interact, while lowering our costs. Investments such as this will help drive continued growth for years to come as we solidify ArcBest position as a leader in logistics innovation. Our organic initiatives and commitment to embracing new technologies, while investing in our people will also help us continue to deliver excellent returns for investors. As we look ahead, we remain grounded in our core business imperatives and continue to invest in these three key areas because we know there is tremendous opportunity in front of us. The last several quarters have proven that the strategy we have in place is the right one to deliver impressive performance and significant returns. As we move forward, we remain confident that continuing to successfully execute our strategic plan will advance and accelerate ArcBest's positive growth trajectory and ensure ongoing efficiency gains and sustainable value creation. And now I'd like to take some time to highlight additional details of our first quarter 2022 results and continuing business momentum. Then David Cobb will take you through the specifics of the quarter in greater detail. Dennis will then elaborate on our customer-led strategy and Danny will speak to our yield management efforts. And finally, I'll offer a few additional comments before we open it up for questions. In the first quarter, we continued to see strong customer demand for all solutions achieving record first quarter revenue and a triple-digit percentage increase in non-GAAP consolidated operating income. The MoLo integration has clearly moved the needle for us. It is progressing as expected and we're already seeing deeper customer relationships. We are pleased with the progress we are making towards the financial goals we laid out when we announced the acquisition having more than doubled our number of carrier partners to provide more resources for serving our customers. Our customers and employees have validated the benefits of having access to additional capacity. We are finding that in many cases it is helping us to cover customer loads faster and it aids in business growth on accounts that are already integrated. Beyond the recent acquisition, we are growing our business and positioning ArcBest for the future in other ways as well. The partnership we announced in January with Phantom Auto the leading provider of human-centered remote operation software also aligns well with our long-term goals. It complements our existing innovation pipeline, technology road map and partnerships and builds on the important work already underway to support our customer success. We are on track to begin piloting our remote-enabled solutions in customer locations later this year. In our nearly 100 years of business, we consistently experience seasons the volatility in the freight market and the first quarter was no different. However, thanks to our balanced mix, customer-led strategy, people-centric culture and strong yield management and expertise we are uniquely well positioned to successfully navigate unpredictable market conditions as evidenced by our first quarter results.  In short, ArcBest is firing on all cylinders and I'm incredibly pleased and excited that our company is poised to continue growing meeting customer needs and delivering superior and sustainable results for investors even during periods of market volatility and uncertainty. And now I'll turn it over to David Cobb.
David Cobb: Thank you, Judy. I'll take this time to share details on our strong financial performance and provide an update on investments we are making to power our long-term growth. I'll begin by highlighting our consolidated information as seen on Slide 5. As Judy mentioned, we set a new record for revenues of $1.3 billion, a daily increase of 60% over the prior year. On a non-GAAP basis, consolidated operating income increased 166% to $109 million. Our adjusted first quarter 2022 earnings per diluted share grew 191% to $3.08. The effective tax rate that was used to calculate the first quarter of 2022 non-GAAP EPS was 25.4%. Under current tax laws, we expect our full year 2022 non-GAAP tax rate to be in the range of 26% to 27% and this may be impacted by discrete items that could occur throughout the year. Slide 6 shows that our Asset-Based first quarter revenue was $705 million an average daily increase of 26% compared to last year. The first quarter non-GAAP asset-based operating ratio of 87.7% is a year-over-year improvement of 570 basis points. The adjusted operating ratio improved 690 basis points at mutualizing for the effect of gains from asset sales in both quarters. First quarter daily tonnage increased 3.6% and daily shipments increased slightly. Total first quarter billed revenue per hundredweight increased 21% including higher fuel surcharges. We secured an average 9% increase on asset-based customer contract renewals and deferred pricing agreements that were negotiated during the quarter. It was the highest first quarter increase we've ever achieved. The April information provided on Slide 7 is preliminary as we haven't closed the month. The April 2022 asset-based tonnage and shipment trends reflect changes in freight profile and business mix as the ABF Freight network continues to be managed to optimize revenue while serving customers with available resources. As a reminder, April 2021 total tonnage increased 29% versus April 2020, which was impacted by the pandemic. Excluding comparisons to the last two pandemic years, the year-over-year and sequential changes in total tonnage in April 2022 were some of the best in the last 11 years. Additional details on our April 2022 business trends can be found in the 8-K exhibit to the press release. ArcBest Asset-Light key metrics are shown on slide 8. In total first quarter revenue in ArcBest Asset-Light businesses increased 115% versus the prior year period, reflecting strong demand for logistics services the addition of MoLO and higher events and revenue per event in the FleetNet segment. First quarter Asset-Light non-GAAP operating income was up 163% over last year. During the recent quarter demand for our managed transportation, expedite and international solutions drove significant growth in operating income as favorable market conditions and increased project work combined with cost control created greater operating leverage. First quarter Asset-Light EBITDA was over $29 million well more than double the same period of 2021. Preliminary Asset-Light business trend for April 2022 have been provided in the 8-K exhibit to the press release which was filed this morning. Solid customer demand drove revenue growth in expedite, managed solutions and truckload brokerage. In addition, the positive influence of MoLo truckload brokerage revenue on year-over-year comparisons is reflected in the preliminary April daily revenue increase of 124%. Slide 9 shows that we ended the first quarter with unrestricted cash and short-term investments of $101 million. Our total liquidity of $303 million is at a healthy level and we are in a comfortable net debt position of $158 million. At the end of the first quarter, the composite interest rate on all of our debt was 2.4%. Our estimated net capital expenditure range of $270 million to $290 million for this year remains in place. And we continue to work with our revenue equipment suppliers to coordinate delivery of our planned tractors and trailers. We are also making progress on this year's planned real estate investments and facility upgrades necessary to support our growth objectives. In the last few quarters, we have experienced increases in our accounts receivable balances. This is primarily driven by our consolidated revenue growth and an increasing mix of Asset-Light business, which grew to 49% of total revenues before eliminations. Our ability to generate solid operating cash flow combined with the strength of our balance sheet ensures we are able to simultaneously make investments in our business, pursue value-enhancing M&A opportunities and continue returning capital to our shareholders. In January, we completed our previously announced $100 million accelerated repurchase. And through the first quarter we purchased another $17 million of ArcBest stock. On Thursday, we announced that the ArcBest Board authorized both an increase in the amount of allocated for share repurchases and an increase in our quarterly dividend. The total amount available for buying our shares is now $75 million and our quarterly dividend is $0.12 per share compared to the previous $0.08 per share. As we have described previously, our capital allocation strategy focuses on investments in our business that have solid returns and that enhance our growth and returning capital to our shareholders remains a priority. This additional authorization for share repurchases is an indication of our Board's confidence in our strategy in a recognition of our current undervaluation by the market. This allows us to continue to offset the dilution of employee stock program and be positioned for opportunistic buybacks with excess cash flow. Likewise, our enhanced dividend indicates our confidence in our sustainable operating model and cash flows. We will periodically evaluate our dividend rate and payout ratio relative to the market in our industry. From a leverage perspective, we will continue targeting investment-grade credit metrics. Our strong balance sheet and anticipated cash flows this year offer us the opportunity to take these positive actions to increase returns for those who are financially invested in our company, while ensuring we are well positioned for any changes that might occur in the economic environment. We are pleased to be able to share another record results with you and look forward to continuing to build on our positive momentum and delivering industry-leading returns as we move through 2022. Now I'll turn it over to Dennis Anderson. 
Dennis Anderson: Thanks, David. Our customer-led strategy continues to drive results and produce long-term value for our stakeholders. Over the past decade, as we've strategically shifted from being a pure-play LTL provider to an integrated logistics company, we've seen a dramatic difference in the level of partnership we're able to develop with our customers. Our ability to address their unique needs, with integrated solutions, is a key competitive differentiator and we are proud of the deep relationships we have fostered, as we continue to deliver a best-in-class customer experience. Judy mentioned earlier that our people are at the heart of our success. And that's why investing in a best-in-class candidate and employee experience is critical to our growth strategy. We hire the best people in the business and invest in our culture to keep them. In fact, for many of our most critical roles, the biggest driver of turnover is retirement. When we serve our employees well, they serve our customers well. Because our people are engaged and empowered, we're prepared to navigate whatever uncertainties we may encounter. In the first quarter, we held nearly 20 hiring events in key ABF Freight locations across the country to support growth and meet our customer needs. Despite a competitive labor market, these asset-based hiring initiatives were successful, adding over 600 new people across ABF. Our award-winning training program helps effectively prepare these new employees to contribute to our future success. We've created a winning culture and made ArcBest an amazing place to work and build a career filled with purpose. These are key differentiating factors that ultimately position our company for continued growth and value creation. We remain as committed as ever to investing in our people through supporting their wellbeing and providing continuous growth and development opportunities. As we do that, they are continuing to build trusted partnerships with our customers that are the foundation for our growth for years to come. And now I'll turn it over to Danny Loe.
Danny Loe: Thanks, Dennis. Deep relationships with our large customer base and our carrier partners, paired with our strong yield management expertise, enable more efficient growth and increased margins while improving customer relationships and retention. Leveraging data across modes gives us a deeper understanding of our customers' businesses and our breadth of solutions enables us to be mode agnostic, so we can do what's right for the customer. Because of our deep partnerships with our customers, we're able to have direct conversations to ensure the freight we put in both our Asset-Based and Asset-Light networks is most appropriately placed for the customer and for our operations. We continue to see a robust yield environment across all solutions. As David Cobb mentioned earlier, our 21% increase in asset-based billed revenue per hundredweight reflected a solid pricing environment and higher fuel surcharges. Additionally, the changes in our freight profile and business mix that resulted from our efforts to optimize our asset-based network had a positive impact on our top line and operating results. Within asset-light the revenue increase percentage was in the triple digits, while shipments grew in the double digits. We also saw strong increases in revenue per shipment, which reflected a strong yield market and a tighter capacity environment. Even against the backdrop of uncertain macro conditions, we are confident in our ability to achieve the appropriate balance between volume and price by leveraging our yield management expertise across all solutions. We recognize the importance of having deep partnerships and we take a great deal of pride in serving our customers and our carriers with excellence. Now I'll turn it back over to Judy. 
Judy McReynolds: Thank you, Danny. As we wrap up, I do want to address a key area of importance for our business, our customers and industry ESG. We pride ourselves on providing access to solutions like managed truckload and intermodal that naturally drive efficiencies to improve the sustainability of our operations and our customer supply chains. We are actively committed to pursuing activities and initiatives that align with our mission to connect and positively impact the world, through solving logistics challenges. Last week, we were pleased to celebrate Earth Day by participating in the FreightWaves Net Zero Carbon Summit, as a member of their carbon working group. We are looking to providing comprehensive update on the progress we are making on our ESG initiatives when we released our third annual ESG report in the second quarter. Sustainability matters to us. It matters to our customers and our shareholders, and it is an important element of our strategy going forward. We remain committed to operating safely efficiently and responsibly while facilitating global commerce and creating value for our stakeholders. I'm also pleased to share news, about a couple of awards we recently received. Last week Forrester, announced that ArcBest was one of its return on integration honors winners. This was based on our success in integrating marketing, sales and product functions using a data-driven approach to align business goals and to optimize resources to better serve customers. Also last night in Orlando, ABF Freight won the 2021 ATA excellence in claims and loss prevention award in the LTL division for the ninth time. No other carrier has won this prestigious award that many times. Both of these awards are testaments to excellence in collaboration, two of ArcBest corporate values displayed by every employee throughout our company. In closing, we remain confident in our growth trajectory, our earnings power and our ability to successfully navigate whatever market conditions may impact the supply chain. We're positioned to perform more consistently through cycles by diversifying our service offerings and strengthening our customer base while limiting our exposure to short-term market pressures. I am proud that we have the strong free cash flow and financial flexibility to advance our balanced capital allocation strategy, by extending our share repurchase program and substantially increasing ArcBest's quarterly cash dividend. The successful execution of our strategy, rooted in an integrated approach that enables us to be a true partner to our customers, allows us to accelerate our capital return program while simultaneously investing in the business and maintaining a strong balance sheet. And finally, our people work hard every day to serve our customers with excellence and our first quarter results reflect those efforts. That concludes our prepared remarks. David Humphrey, we can now open the call up to questions. 
David Humphrey: Okay. Frank, I think we're ready for some questions. 
Operator: Thank you. [Operator Instructions] Our first question comes from Chris Wetherbee with Citi. Please proceed. 
Chris Wetherbee: Great. Thanks. Good morning, guys. 
Judy McReynolds: Good morning. 
Chris Wetherbee: So maybe first on the LTL side thinking about the volume environment. So, thanks for giving us the April tonnage. Obviously, the comps in the second quarter are very challenging given the growth you saw last year. I wanted to get a sense of kind of how you're -- what you're hearing from customers and sort of the generalized pace of activity. Have you seen a deceleration, if anything, it looks like a bit of an acceleration in terms of your demand if we're looking at it on a multi-year stack basis. So, I just want to get a sense of how you're feeling and what your customers are feeling? 
Dennis Anderson: Hey Chris, this is Dennis and thanks for the question. Morning. Customers are still definitely talking to us about meeting their customers' demand and looking for ways to do that. The conversations we've had with them is they're still feeling some of the labor shortages impacting their supply chains. They're definitely having some slowdowns related to shortages and backlogs ongoing maybe in their supply chains. But other than that, they are still telling us a strong demand and really looking ahead meeting that demand and we're seeing that in our business as well.
Chris Wetherbee: Okay, that's helpful. And then just when we think about the pricing side, it sounds like double-digit increases on renewals. I guess how do you think about the sustainability or the durability of the pricing environment that we're in right now? It sounds like demand is fairly good. Is it possible to continue to see these double-digits last throughout the year? Do you have some challenging comps that we're beginning to get into? Just want to get a sense of how you're thinking about that process?
Danny Loe: Chris, this is Danny. I think you hit a couple of key points there. The comps do get harder as we go through the second half of the year. I'll tell you our focus is just continuing to have conversations with our customers and making sure that we're compensated for the value we're providing to our customers. And as Dennis said, right now, the demand still for our services for our customers is strong and we'll continue to just have the conversations and make sure we're providing that value to our customers.
Chris Wetherbee: Okay. So -- go ahead 
Judy McReynolds: Just one -- I just want to follow-up on one part of that. I think one thing that we do that really helps and both Danny and Dennis are part of these conversations is approaching the customer, looking at their situation from their perspective. I think we have credibility and trust in these relationships because we're able to do that. And that helps with the value creation coming from them. And as you're going through these uncertain times that really helps.
David Cobb: I think the other -- Judy I had a key point there too. Just with the breadth of solutions, being more agnostic kind of basing that dynamic of what you talk with the customers the right solution for the customer base change as you go throughout the year depending on their situation and what the market capacity is at that time.
Chris Wetherbee: Okay. That makes sense. I have a few more, but I know I'll get the hook from David. So, I'll pass it over. Thanks so much for the time this morning. Appreciate it.
Operator: Our next question comes from Ravi Shanker with Morgan Stanley. Please proceed.
Christyne McGarvey: Hey, this is Christyne McGarvey on for Ravi. Thanks for taking the question.
Judy McReynolds: Good morning Christyne.
Christyne McGarvey: Morning, how are you guys?
Judy McReynolds: Good.
Christyne McGarvey: Just wanted to maybe ask a question. Clearly, there's a lot of concern about kind of the cycle dynamic here. So, maybe I can ask a two-parter. I mean how are you guys thinking up the cycle kind of from here? What are you guys seeing on that front maybe kind of trickling back to the volume question from earlier? But then two, perhaps more importantly, I mean regardless of kind of how you guys are thinking about the OR performance coming out of the pandemic you guys has been really, really strong. So maybe you can talk about how you're thinking about the sustainability of those gains and kind of what you think the OR might look like, if we do enter a bit of a softer backdrop at some point in the future?
Danny Loe: Hi Christyne, this is Danny. I'll start off talking just about the environment. I think if you listen to our competitors on the other calls, there's definitely been a softening in the spot truckload market. And so we acknowledge that and see that. But we're confident in our ability that when we have multiple solutions is to provide the right answers to our customer. And so, we know that we have significant market opportunity for us within our customer base. And so, to us, the cycle does matter but it doesn't matter as much, because we feel like we can grow through any cycle with the opportunities that lay in front of us. And so, I'll kind of turn it over for the back end of the questions for.
Dennis Anderson: Yeah. Hey Christyne, this is Dennis. I'll add on to that. I mean, Danny mentioned there at the end the opportunity set that we have in front of us is tremendous. And so when we think about through cycles for our business the growth opportunity is there. And as you mentioned, we've seen some margin improvement in our business and that growth has also helped with that margin improvement. And so we're focused on capturing that market opportunity. We've got our sales and marketing teams aligned with that approach and our customer service teams as well. And feel really great about the pipeline that's in front of us to grow from here.
Christyne McGarvey: Got it. Really helpful. And maybe just as a quick follow-up to the commentary about the spot market. I know it's not kind of one-for-one clearly with what you guys are doing day in, day out. But how should we think about some of the transactional business that you guys use to kind of help balance the network. Is there any risk maybe in that particular segment, if the TL spots starts to slow or the triple market as a whole starts to flow?
David Humphrey: Yeah. So, two things there, one, in the truck area itself what we see is the model works and this is part of -- one of the reasons for the acquisition of MoLo is the addition of the contract business. And so you'll see us the contract business as a percent of total truckload continue to grow through kind of a deflationary type truckload market. And so the expertise of the guys there to bounce out is we're just well positioned to walk through that much better than we have been in the past. I think to the other question was kind about the Asset-Based network and the dynamic pricing. And so, to this point we've seen no deflationary or lowering of demand in that market.
Christyne McGarvey: Got it.
David Humphrey: Christyne, [indiscernible]
Christyne McGarvey: Thank you.
Operator: Our next question comes from Jack Atkins with Stephens. Please proceed.
Jack Atkins: Okay, great. Thanks for taking my questions.
Judy McReynolds: Good morning, Jack.
Jack Atkins: Good morning, Judy. So maybe first question for Danny, could you maybe update us on the integration of MoLo how is that going? And based on what we're seeing in the spot market today and deflationary pressure there does that perhaps maybe pull forward your accretion expectations for MoLo into maybe earlier this year? Just would be curious to get a bit on that?
Danny Loe: Yeah. We won't get into specifics on the MoLo kind of the accretion piece. But I would say that Judy mentioned earlier, we're pleased with where we are in the integration. And honestly we're still actually in the first stages of it. We're we are integrating some of our accounts into the MoLo platform right now. We're looking to roll everything together to have all shipments on a platform by the end of the year. But what we've seen from the first pieces of integration of moving these accounts into the MoLo platform is just the access to better capacity. We're serving the customer better and that's resulting in better margins. And it's also resulting in growth of loads per day for those accounts that we bring over there. So the business rationale for the acquisition is still strong with what we've seen. We are still in the early stages of getting the technology aligned to get all shipments on the same platform, but we're making progress there and we're comfortable with where we are.
Jack Atkins: But declining right in the spot market would not make MoLo accretive sooner, Danny?
Danny Loe: I think in a deflationary market, I'll mention again that contractual business helps you in a deflationary market and that MoLo helped bring us to a closer balance of contract and spot of where we want to be in the long-term and their expertise in how to manage the market helps with that too.
Jack Atkins: Okay. That's helpful. And then I guess maybe for my last question. David Cobb, the reference in the 8-K around sequential change in operating ratio. Typically, first quarter second quarter it's 200 basis points of improvement. Obviously, you significantly outperformed normal seasonality in the first quarter. Can you maybe help us think through, is it correct to maybe assume normal seasonality this year, or -- are there some puts and takes we should maybe keep in the back of our mind as we're updating our model?
David Cobb: Yeah. Thanks, Jack. And the 200 that you referenced was I think the fourth to the first. But 400 points is what we have historically seen as we've pointed out in the last five years from first to second. And we always have some positives and negatives I think in the quarters. And -- but I just -- I would just say that there's nothing significant to call out at this time. It's believed to have an unusual impact going from the first quarter to second quarter. Certainly, there's a lot of things going on with the business environment and we're managing that very well as you heard from Danny and Dennis.
Jack Atkins: Okay. All right. Thank you for the time guys. Appreciate it.
David Cobb: Thank you.
Operator: Our next question comes from Scott Group with Wolfe Research. Please proceed.
Scott Group: Hey. Thanks. Good morning. Can you remind us…
Judy McReynolds: Good morning, Scott.
Scott Group: Good morning. Can you remind us what the wage and benefit inflation is for this year? And I think that there's no incremental profit share given where the OR already is, is that right? 
David Cobb: Yes, Scott. On an overall basis, the wage and health welfare pension benefit, annual increase is on average been about 2% when you put all that together. And then we're at a level of OR that's at the high-end of the OR incentive which is a 3% of wages that pay down. So we're encouraged to be able to do that. And so I think our employees have appreciated having that option there.
Scott Group: So I mean, if we have another year, I mean if we're starting with high single-digit pricing increases and we've got wage inflation of two, I mean we're setting up for another pretty dramatic year margin improvement. Is that a fair way to think about it?
David Cobb: Well, I think that's -- the idea is that we price for value and that price exceeds inflation. And we're looking as we talked about investing in the business and the growth opportunities that we have. And so we want to grow through this. And we're investing in both the facilities and technologies, our people across the board. So I think the momentum is good and the opportunity for margin improvement is also there. 
Scott Group: Okay. And then just real quick, the Panther business used to be one of the first places that saw the world start to slow down maybe just given up you're seeing it expedited, if you're seeing that slow at all with spot?
Danny Loe: Scott, this is Danny. We – expedited was a strong contributor to the first quarter for us. There were some project worked in that. So we may have a little headwind in the second quarter. We're seeing a little bit of disruption in the auto supply chain that impacts that part of the business. But other than that, we still a strong for us.
Scott Group: Thank you for the time guys.
Judy McReynolds: Thank you.
Operator: Our next question comes from Todd Fowler with KeyBanc Capital Markets. Please proceed.
Todd Fowler: Hey, great. Thanks and good morning.
Judy McReynolds: Thank you, Todd.
Todd Fowler: Hey, Judy, good morning. So this is probably a difficult question to really precise the answer to, but I would just love some of your general thoughts. And I think this was touched on a little bit earlier, but kind of pre-panic first quarter the OR would be mid to high 90s or something like that. And now we're sub-90, which is fantastic. How do you think about the drivers behind that? How much of that is related to structural changes, efficiencies within your business versus just the macro environment and some of the pricing strength that we've been seeing kind of – any thoughts on what really contributed to that level of margin improvement could be helpful?
Judy McReynolds: Well, I think it's a combination, and I know that's probably what you'd expect me to say, but it truly is. And it's so interesting, Todd, to reflect on how our business is managed today, particularly the Asset-Based business. It is very responsive as a network to customer needs. There's a lot of demand for the Asset-Based services. But it's been interesting with all the supply chain disruption and just different parts of the country coming back at different times and all of that causing some imbalance in the network. So it's been a very active process not only to manage yield in terms of just on a typical piece of business, what that's worth the following year. But what that means in terms of the network and then adding to it, other freight that can better balance the network. And we really have a team that does a great job with that. The visibility that, we have in the business is better and allows us to be more optimized. But at the same time, we're very challenged at times with things, like for instance, in the first quarter we had some challenges with labor and coped cases and all of those kinds of things, too. So, I really credit the team for overcoming those and creating the scenarios for our best customers that work well for us. But I'll say this, Todd we still have a lot to do. We have a lot that we can see. We're using some more expensive purchase transportation and other external resources that could better be handled if all things were balanced, let's just say. And so we see a lot of opportunity there. And David mentioned, the opportunity to grow, we see that creating greater sustainability, a more optimized answer and just overall better answers for customers that matter to us. And so anyway, it is a combination of things, but I thought I could give you that additional color.
Todd Fowler: Yeah. No, and I know it was a difficult question to precise answer to, but I think it kind of brings together the comments the team has been making throughout the call that the network itself is just more dynamic than what it was in the past, and we can see that in results. So I appreciate those comments. Just for my follow-up question, you just touched on this a little bit, Judy, but can you give an update on the capacity expansion, the terminal growth for this year? And any how that's going and basically any costs associated with that in the numbers or expectations for the rest of the year? Thanks.
David Cobb: Yes. Hey, Todd, it's David. I'll just comment on this. We mentioned -- as you mentioned we've got a plan in place, it's really a long-term plan, a multi-year plan to expand improve our Asset-Based facilities. And so we're -- we have begun that. We've done some remodels that have been well received by our employees. It was good to see. And -- but we're working on some expansions at some current locations. And so that's progressing as we intended. And as we've said before, we're looking to get to sort of a percentage increase in ability to handle shipments in the mid-single digits sort of an increased range by the end of the year. So that's still on our targets.
Todd Fowler: Great. Thanks for the time this morning.
David Cobb: Thank you.
Operator: Our next question comes from Jordan Alliger with Goldman Sachs. Please proceed.
Jordan Alliger : Yes. Just a question on the Asset-Light side of the equation. You had a pretty big step-up in margin percent, but really profit dollars. I'm just wondering if you could highlight a bit more what that step-up was it purely the revenue side? Was it stuff that's happening on the tech side that's driving more profitability? Maybe talk a little bit about sustainability of the level of EBIT you're at in this area? Thanks.
Danny Loe: Hey, Jordan, this is Danny. When I look at the first quarter results, we saw strong revenue growth really across all the service lines. And so when we think of our Asset-Light and kind of the scale that we're at, we still have a lot of fixed costs. And so as we can grow and add net revenue to it. We feel comfortable that we can manage the costs that are going along with that. So we can drop a lot of that net revenue growth to the bottom line.
Jordan Alliger: Yes, so, I mean -- sorry. 
Dennis Anderson : Sorry, I would just add the customer momentum around Asset-Light services is really strong as well. I mean, we talked about our pipeline being strong. That's increased greatly. And the conversations with customers about truckload since the MoLo acquisition have really improved as well. And so we feel great about the ability to sustain momentum in terms of demand there at Asset-Light as well. 
Jordan Alliger: So, I guess in terms of the $27 million or so in EBIT dollars. I mean, is that a level that we should think about sort of, I know there's going to be fluctuations, but if we sort of move to a new plateau if you will?
Judy McReynolds: Well, I think, we have been building to this place for a lot of years, Jordan. When I think about the acquisitions that we've made the latest of which would be MoLO. But even when we bought Panther back in 2012, we've been working toward this suite of logistics solutions that works well for customers in any environment. And I like where we are. We've got a lot to do on the integration side with MoLo. But we feel like those longer-term targets that we put out there. The overall company being at $7 billion to $8 billion in 2025 with the Asset-Based margins 10% to 15% and then the Asset-Light between 4% and 6%, we're still confident in those and working toward them. There can be different environments and things that you're faced with. But when I look at how we're able to navigate to that place that works well for customers, this set of solutions is going to serve us well in any environment. And to Dennis' point with the opportunity set that we have both in the market. But specifically within our customers, we've just got a lot to go. And we really haven't been talking too much about the tax side of things. That's an evolution in our company as well. So -- but thank you for the question.
Operator: Our next question comes from Ken Hoexter with BOA. Please proceed.
Ken Hoexter: Great. Good morning, Judy and team.
Judy McReynolds: Good morning, Ken.
Ken Hoexter: So just a quick question on inflation, right. So you're raising rates ex-fuel double digits. Judy, going back I guess looking at different cycles. And I mean the most recent cycles I guess were really different. We didn't really have the level of inflation interest expense or interest rate rise that we do. So what's your thought on the impact of -- on the trucking business and customers when you look at the impact on inflation and what -- how this cycle can be different than the last one or two that we've seen?
Judy McReynolds: Well, there's certainly an impact. Probably the biggest impact that comes to mind is the effect that fuel has as a part of our overall rates on customers. It's -- the fuel surcharge is a mechanism that is negotiated or as a part of our rate structures that we use with customers. And that's -- it just kind of naturally progresses. So we don't from a discussion standpoint worry with it too much that way. But what it does impact is what they're paying. And so I think, again, we've recently had more customers coming back to us with supply chain optimization conversations. Because, when they're looking at the impact, it's an impact that causes overall cost to rise and it comes into their equation for what they're doing in their profit margins, for their customers and they want to talk about how we can do it better. And that's -- I keep coming back to the way that we're positioned. It really works well for us to be positioned the way that we are in those conversations because, rather than it being one solution that is impacting them a certain way, we can look at their supply chain and figure out what works best for them. So it's a great conversation. For instance, we're seeing our managed solutions really grow. And again, that's the conversation that you have is how can we help you do this better with costs all in. But the other thing that's been interesting is just the interest level that our customers have in these innovation conversations with us. We've noticed it with the investments that we've made in some of our R&D projects. Customers are very reflective on how they're impacted by inflationary costs or labor challenges. And we -- because of how we're positioned, we've been invited to those conversations to help them solve those problems which I really like. And so, again, you're not just talking about a solution that's more expensive than they want it to be, but it's just an overall conversation about how their business can be better. But in the business, we have costs that are -- we're having to manage. One of those areas that I would like to see us be able to reduce would be those purchase transportation areas maybe rented equipment, those kinds of things. If we can be more successful in bringing on people, getting the delivery of our equipment and that sort of thing there's some natural benefits that we gain from how we can manage all of that better. And it's just important to do that, as well as the technology projects that we have in place getting them done and getting the benefits. When you're in this environment, you really need to have that work done. And so, hope that answers your question? 
Ken Hoexter: No, it does. Great. And if I can squeeze one in? Just the sustainability, it seems to have shifted here for the LTL segment right with more business fulfillment centers, given Amazon flowing announcement this morning, TFI noted some slowing of the deceleration of the consumer at one of its businesses. What's your thought on the B2B versus B2C split and how that has structurally changed the business to maybe sustain that growth through the cycles?
Judy McReynolds: That's interesting. I mean I do think the value of an LTL network and its ability to help goods get to the ultimate customer is -- has grown, is increasing. We see the LTL market growing and serving customers well. But we also see combinations of things that work really well for both large customers and small. And I mean one of the great things for us, many years ago, 20-plus years ago with our U-Pack business we got very, very familiar with doing business, residential delivery business with -- directly with consumers in homes. And so, we're -- we're very focused on that, familiar with that but also the effects that that type of business can have on our network. And we've learned to adapt to it. And it can be as big of a part of our business as we want it to be, let's just say because there's a lot there. But we like the industrial customers we have and -- as well and then our retail presence as a diversified part of what we do. And I think all of that coming together, helps you to have the sustained ability to grow and improve profits in the business. 
Ken Hoexter: Thanks. Appreciate it.
Operator: Our next question comes from Stephanie Moore with Truist. Please proceed.
Stephanie Moore: Hi, good morning, everyone. 
Judy McReynolds: Hi Stephanie.
Stephanie Moore: I think I just wanted to touch a little bit on maybe some of the technology initiatives that you have kind of planned for this year. I know you noted the pilots of in the second half which sounds really exciting. But could you just give us an update on maybe any other pilots that we can look forward this year, as well as some other implementations as well? Thank you.
Judy McReynolds: Yes. Stephanie, we spent $150 million annually. About half of that goes on strategic spend and transformative type initiatives. Those areas that we're working on, city route optimization, line haul optimization, dock optimization, we've got some really good projects in all of those areas. We've got some projects that are helping us to create visibility for customers which helps us with labor planning and other planning as well.  We're continuing to work on our dock handling pilot in Kansas City and everyday learning more about how that can be beneficial in the business. And we also have conversations with customers about that type of work as well. So along with the mention that you made of Phantom Auto, we're really excited about that.  And then our digital advancement is a part of what we're doing as well the types of solutions that customers can use self-help or just self-fulfillment on our website. I think later this year into next year is going to be a -- just a helpful thing from both their standpoint and a cost standpoint for us. 
Stephanie Moore: Got it. And then, I guess, drilling in a little bit further is there anything as it relates the MoLo integration or acquisition from a technology standpoint that needs to be implemented as part of the integration or vice versa? Maybe you could update us on some of the technology that you're going to bring over from MoLo to the legacy business? 
Danny Loe: Yes. Stephanie, this is Danny. So we are migrating our truckload platform over to the MoLo platform. And so there is a technology left there that's getting the systems integrated that we're really in the middle of right now. There's things there's automation digital that was in the MoLo platform. We had our digital tools and the different things is so the combination the aggregate of that we're excited about what that holds for us as we go forward. The first thing is to get the integration is to get the base done. 
Stephanie Moore: Great. Well, that’s everything from me. Thank you.
Judy McReynolds: Yes. The other thing I'll say real quick Stephanie is just the data. I mean, we're just excited about how much information that we have and that just makes us better. 
Stephanie Moore: Understood. Thanks everybody.
Judy McReynolds: Thanks.
Operator: Our next question comes from Jeff Kauffman with Vertical Research Partners. Please proceed.
Jeff Kauffman: Thank you very much and thanks for squeezing me in and congratulations everybody. 
Judy McReynolds: Thank you, Jeff. 
Jeff Kauffman: You know, two quick easier because I know we're running short on time. You talked about how contract signatures were about 9% on business you were signing. How far are we through the customer resigning process for this year? 
Judy McReynolds: Well, Jeff what we end up doing typically on deferred pricing and contract renewals is it about one-fourth of our business each quarter. I mean it tends to be a little heavier in fourth and first. But by and large you're dealing with regular part or regular amount of that business each quarter. And…
Jeff Kauffman: All right. So the way I should think about that is a lot of contracts still to be signed? 
Judy McReynolds: Yeah. I mean it's just ongoing. I think there is work that's going on right now with truckload contract renewals as well. I know we were talking about the Asset-Based business but we have that going on. And we're learning even more about that as we get the integration going and done with MoLo.
Jeff Kauffman: All right. Thank you, and then just the second one. Purchased transportation expense still pretty high, I know a fair amount of that has to do with Asset-Light, but spot rates are coming down in the marketplace. How much of the purchased transportation inflation is the Asset-Light business? How much of that is on the asset side? And how should we think about that expense trending as say, tonnage slows down a little bit with the economy later this year and spot rates move down as the year progresses?
Judy McReynolds: Well, I mean I think we've got again two different things going on. I mean in the Asset-Based business we use a level of purchase transportation to help balance the network and for additional resources as we are hiring in certain locations that sort of thing. Typically, it's for line haul, but also in city routes we'll use cartage agents. And again, some of that works well and can even be lower on a cost per mile basis, but particularly in the city reps that cartage we would prefer to do with our own people. So that's just a matter of getting people in place and regular operation. But the purchase transportation that we do with our Asset-Light business, we feel like we've gained an advantage with the MoLo acquisition. One, because we have more carriers and two, because of the approach that they've used and some of the tools that they have to be better informed about buy rates and that sort of thing. So, we're encouraged and excited about that. And it's -- again, the acquisition is benefiting us.
Jeff Kauffman: No. And thank you for putting those deals in the 8-K about purchased transportation as a percent of revenue for Asset-Light. I thought that was really helpful. That's all I have. Congratulations and thank you.
Judy McReynolds:
Operator: Our next question comes from Bruce Chan with Stifel. Please proceed.
Bruce Chan: Hey. Good morning, everyone, and thanks for squeezing me here.
Judy McReynolds: Hey, Bruce.
Bruce Chan: How are you doing? Just a quick question here on the portfolio. I know that cross-selling has always been an important part of your overall value proposition when you think about the interplay of asset base and Asset-Light. And then Judy, you mentioned UPAC and then I'm also thinking about FleetNet here. As you think about those parts of the business, it doesn't seem like there's as much overlap there. Any thoughts around how those fit into the ArcBest story as we move forward? 
Judy McReynolds: Yes. It's interesting that you say that. I mean FleetNet for instance does provide services to ABF and has a good solution or service offering for other carriers but also has a very diversified customer base. So it's an interesting mix or fit with the rest of what we're doing. But they – I was talking to Gary Cummings, the leader of that company yesterday and we were talking about how logistics oriented. What they do is just any more just trying to help their customers find the right solution for a given problem whether it's preventative or emergency roadside maintenance. The U-Pack solution I mean that was again developed a long time ago, more than 20 years ago but what it does is it helps us fill capacity whether it's a nose load of the trailer or in a container in the trailer. And so it's a great solution for consumers. It's kind of a do-it-yourself solution but it was developed years ago to create an improvement in load average and in some cases balance. And we have the ability to manage that by location the way we'd like to. So we feel like it fits and works well with the asset-based business and has for a long, long time. 
Bruce Chan: Okay. That's helpful. And then just a really quick cleanup here. Where are you in terms of average fleet age right now versus where you'd like to be? 
Judy McReynolds: Yes, it's a little longer. David probably has the details of that.
David Cobb: Yes. As we talked about receiving some of our equipment particularly our 21 units drug out a little bit. And in fact we completed receiving some of those in the first quarter. But like our road tractors, they're at two years average age city tractors about 6.5 year average age. So that's longer than we would like to have actually some... 
Judy McReynolds: But it should – it will change by the time we get to the end of the year pretty drastically. 
David Cobb: Yes that's right. 
Bruce Chan: Perfect. Thank you.
David Cobb: Thank you
Operator: Mr. Humphrey, there are no further questions at this time. Please continue with your presentation or closing remarks.
David Humphrey: Okay. Well that – we appreciate everybody joining us this morning. That concludes our call and we look forward to seeing you in another quarter. Thanks a lot.
Operator: That does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your line. Have a great day everyone.